Gary Shiffman - Chairman & CEO:
John McLaren - President:
Fernando Castro-Caratini - EVP, CFO, Treasurer & Secretary:
Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Sun Communities First Quarter 2025 Earnings Conference Call. At this time, management would like me to inform you that, certain statements made during this call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the company can provide no assurance that, its expectations will be achieved. Factors and risks that could cause actual results to differ materially from expectations are detailed in today's press release and from time-to-time in the company's periodic filings with the SEC. The company undertakes no obligation to advise or update any forward-looking statements to reflect events or circumstances after the date of this release. Having said that, I would like to introduce management with us today. Gary Shiffman, Chairman and Chief Executive Officer; John McLaren, President; Fernando Castro-Caratini, Chief Financial Officer; and Aaron Weiss, Executive Vice President of Corporate Strategy and Business Development. After their remarks, there will be an opportunity to ask questions. [Operator Instructions]. As a reminder, this call is being recorded. I'll now turn the call over to Gary Shiffman, Chairman and Chief Executive Officer. Mr. Shiffman, you may begin.
Gary Shiffman: Good morning, and thank you for joining us as we discuss the first quarter 2025 results, the closing of the Safe Harbor Marinas transaction and our updated guidance for the year. We are very pleased with our first quarter performance and to have announced the successful closing of the Safe Harbor Marinas transaction last week. The sale of Safe Harbor marks a major milestone in Sun's ongoing strategic repositioning toward a pure play owner and operator of manufactured housing and recreational vehicle communities. We're equally encouraged by the continued execution of our broader simplification strategy, as we streamline our operations and drive cost savings and revenue growth. These efforts are materializing and position us to deliver strong, resilient and consistent growth going forward. The cash generated from the closing of Safe Harbor transaction enhances our financial flexibility and positions us for long-term growth. As part of our capital allocation plan, we executed on our debt reduction efforts and established a new long-term net debt-to-EBITDA target of 3.5x to 4.5x. In addition to the Safe Harbor transaction, year-to-date, we have sold six non-strategic MH and RV communities generating total gross proceeds of approximately $124 million. While John and Fernando will go into more detail, I want to reiterate our confidence in the strength of Sun's platform and the long-term opportunities we see across our MH and RV segments. The fundamentals driving demand remain intact, particularly around affordable housing with no changes to long-term supply constraints, which support our positive outlook. In conjunction with the sale of Safe Harbor, we have a repositioned balance sheet and have allocated approximately $1 billion into 10/31 exchange accounts for potential tax efficient acquisitions. We're underwriting a number of high-quality single assets and small portfolio manufactured housing opportunities that have been identified through a combination of our long-term industry relationships and inbound activity. In March, Sun announced that, our Board nominated Mark Deneen as an Independent Director candidate for election to our Board of Directors. Mark has over three decades of real estate experience and served in multiple executive roles at Duke Realty. We expect his experience and perspective to be a strong addition, as we continue to execute on our strategy. The CEO Search Committee continues to be engaged and is advancing its work to secure the top candidate as my successor by year end. And on behalf of the Sun team, I want to thank the entire Safe Harbor and Blackstone teams for a smooth transaction process. We wish them continued success. As always, I also want to thank the Sun team for their continued focus on delivering strong results. I will now turn the call over to John and Fernando to discuss our results and financial performance in more detail. John?
John McLaren: Thank you, Gary. I am very pleased to discuss the results of our first quarter, as we focus on delivering strong operational performance from our core MH and RV communities. We've streamlined our portfolio and have significantly enhanced our balance sheet flexibility. In front of us is an exciting chapter for Sun, one grounded in operational excellence and the realization of disciplined execution through consistent organic growth and selective expansions. Our North American same-property portfolio delivered 4.6% NOI growth, driven by solid performance in Manufactured Housing and ongoing progress in expense management. Manufactured housing continues to show resilience with same property NOI up 8.9% in the first quarter. Revenue grew 7.3%, supported by strong rental rate increases and a 150 basis point occupancy gain. Expenses were well managed, growing 2.8% with notable savings in payroll, insurance and legal. Occupancy remained strong at 97.5% with average resident tenure of approximately 21 years, demonstrating the value our residents enjoy living in a Sun Community. Within the RV segment, the annual side of the RV business continues to perform well, with revenue increasing 7.8% year-over-year, reflecting the benefits of our strategy to drive more stable recurring income. The decline in RV same-property NOI of 9. 1% is attributable to softness in the transient RV business, which remains under pressure from general macroeconomic uncertainty and reduced Canadian guests. Canadians account for roughly 4% of our annual base and 5% of our transient RV revenue. While transient revenue declined, transient guests play an important role in supporting our annual revenue growth across the broader portfolio. The first quarter represents approximately 16% of total annual RV NOI. In The UK, total same-property NOI saw a modest decrease of $600,000 compared to the prior year, primarily due to higher payroll as a result of increases in national minimum wage and higher real estate taxes. Revenue grew 0.2%, supported by higher MH income and home sales volumes largely consistent with prior year with average sales prices of approximately 8% higher year-over-year. We are pleased with our first quarter results and the notable progress we've made. In particular, we're encouraged by our performance, the enhanced revenue-driving strategies we implemented and ongoing activities we will roll out to deliver resilient earnings growth over time. We are focused on operational excellence, and I'm extremely excited about the opportunities ahead, as we build on this momentum and further unlock the potential within our portfolio. I will now turn the call over to Fernando to discuss our financial results in more detail as well as our updated 2025 guidance. Fernando?
Fernando Castro-Caratini: Thank you, John. As John and Gary noted, we believe, we are at an important inflection point for Sun, not just operationally, but financially. We closed on substantially all of the $5.65 billion sale of Safe Harbor Marinas on April 30th and have begun executing on a capital allocation plan that has meaningfully reshaped our balance sheet and financial profile. Let me start with our first quarter results. We delivered core FFO per share of $1.26, representing a 5.8% increase year-over-year. This performance was driven by a combination of solid operational execution and early benefits from our ongoing cost optimization efforts. Turning to our balance sheet. As of March 31, Sun's debt balance stood at $7.4 billion with a weighted average interest rate of 4.1% and a weighted average maturity of 5.9 years. Our net debt to trailing twelve month recurring EBITDA ratio was 5.9x. Turning to capital allocation. As outlined in our press release last week, the capital allocation plan following the Safe Harbor transaction reflects a balanced tax efficient approach to optimize shareholder value through lower leverage, greater financial flexibility to drive sustainable cash flow and a thoughtful capital return strategy. From the net proceeds of the initial closing, Sun has paid down or intends to repay approximately $3.3 billion of debt, inclusive of estimated prepayment costs. This includes the full repayment of approximately $1.6 billion under our senior credit facility, leaving us with a zero balance as of May 1st and no flowing rate debt outstanding, the payoff of approximately $740 million of secured mortgage debt with a weighted average interest rate of 5.3%, and the redemption of approximately $950 million of unsecured bonds, inclusive of estimated prepayment costs, scheduled to close on May 10th, bearing a weighted-average coupon of 5.6%. The company intends to manage its balance sheet in a leverage range of approximately 3.5x to 4.5x on a long-term basis. Based on the initial debt pay-downs, we expect to generate annualized interest expense savings of approximately $160 million, and reduce the weighted-average interest rate on Sun's outstanding indebtedness to approximately 3.5%. Our weighted average debt maturities have increased to nearly eight years. Post transaction, the remaining cash on hand inclusive of amounts held in 10/31 accounts is expected to initially earn an annualized interest rate of approximately 3.5% to 4%. Additional elements of our capital allocation plan include a one-time cash distribution of $4 per share to holders of record as of May 14, 2025, payable on May 22nd, a planned increase to our quarterly distribution by approximately 10.6% to $1.04 per common share and unit. This increase is expected to begin with the second quarter distribution, that is anticipated to be paid during July 2025 and the adoption of a $1 billion stock repurchase program permitting future repurchases of our common shares. We continue to evaluate additional proceed maximization strategies, which may evolve as we finalize tax and strategic implications over the remainder of the year. Pro forma for these actions, our leverage has declined meaningfully. For full year 2025, we are establishing core FFO per share guidance in the range of $6.43 to $6.63. This reflects the execution and timing of the Safe Harbor Marinas transaction, including the disposition of the delayed consent properties. Note that, our original guidance issued in February was adjusted for full year contribution assumptions relating to Safe Harbor. This updated outlook assumes the full sale of all Marina's assets and does not include any potential future acquisitions, proceeds deployed for share repurchases, and any other non-ordinary core strategic actions or financial transaction. In terms of operational assumptions embedded in our updated guidance, we've raised our Manufactured Housing, same property NOI guidance by 60 basis points at the midpoint, reflecting strong first quarter results and continued top-line strength expectations. RV same-property NOI expectations have been reduced to a range of down 3.5% to up 0.5%, driven by observed slower transient reservation pacing, reflecting a shift towards shorter booking windows. Overall, total North America same-property NOI is expected to grow 3.5% to 5.2% with a midpoint of 4.4%. Our UK same-property NOI guidance remains unchanged, with a projected growth range of 90 basis points to 2.9% and a midpoint of 1.9% growth. Ancillary NOI has been reduced by approximately $4 million at the midpoint, primarily due to lower-than-expected transient RV activity. For additional details regarding our full year guidance, please see our supplemental disclosures. As a reminder, our guidance includes acquisitions and dispositions and capital markets activity through May 5th, but it does not include the impact of prospective acquisitions, dispositions or capital markets activities, which may be included in Research Analyst estimates. I will now turn the call back to Gary for his closing remarks. Gary?
Gary Shiffman: Thank you, John and Fernando. We're extremely pleased with our four plus year investment in Safe Harbor that concluded with a successful sale we consummated last week. I want to thank the entire Safe Harbor team, once again for their partnership in which Blackstone and Safe Harbor continued success in the future. As it relates to Sun, this transformative sale aligns with our long term strategy by substantially reducing our leverage and increasing our strategic and financial flexibility. I would like to extend my gratitude to the entire Sun team for their efforts in delivering on this important quarter and to our shareholders for their continued support. This concludes our prepared remarks. Operator, we're now ready to take questions.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Michael Goldsmith from UBS. Please go ahead.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. Maybe starting with the Manufacturers Housing NOI guidance, it went up 50 basis points from your initial guidance. So can you walk us through, what are you seeing on the MH side that has you revising guidance up early in the year? And is that on the revenue side or is that on the expense side? Thanks.
John McLaren: Hi, Michael. It's John. Good morning. Thanks for the question. It's a little bit of everything to be quite honest with you. We're seeing good occupancy gains over the course of the first quarter that we expect to continue. Within the rental home program, we've had really good renewal performance as well as renewal rate performance in the first quarter that we expect to continue on. The team has done a really nice job in terms of rent collections, which is obviously moves its way towards reduced impact from a bad debt perspective. And we've had really good discipline with the expense savings program that we launched towards the end of last year. So it's really, I mean, it's hitting on all cylinders on the MH side, which is why we are excited to improve our guidance for 2025.
Gary Shiffman: Hi, Michael. It's Gary. I would just add the fact that we have the long tenure of 20 plus years in the manufactured housing side, we always point to the expenses related to turnover and things like that. And so I think that as we continue to see the strong, strong demand to be in the communities, it also has a benefit with regard to the much extended tenures that we're seeing.
Michael Goldsmith: Got it. Thanks for that. And as a follow-up, as you think about the repurchase authorization, are you thinking of that as an opportunity to opportunistically purchase shares at what you see as a discounted valuation or is this kind of a indication that, Sun is out in the market and kind of consistently be acquiring? I was trying to understand is this an opportunistic vehicle or is this something that you plan on using to its fullest? Thanks.
Gary Shiffman: Yes. Good question. I think the way I'd respond to it, I think that it's just part of the much larger thoughtful program related to the positioning of the company today. It gives us continued flexibility, and we're just very, very pleased with the fact that we were able to close the Safe Harbor Marinas transaction in what is a very volatile marketplace out there right now. We closed it, actually, more rapidly than even we anticipated. So, with the ability to strengthen the balance sheet, to have the capital on the 10/31 exchange, continue to focus on our overall strategies in the MH RV core portfolio, to be able to put out the special one-time distribution and really look out and look forward to being able to share with the market, as things progress in the future during the year. So it's one piece of the overall plan.
Michael Goldsmith: Thank you very much. Good luck in the second quarter.
Operator: Thank you. The next question comes from the line of Jana Galan from Bank of America. Please go ahead.
Jana Galan: Thank you. Good morning. I just wanted to follow-up on the revision in the RV guidance and whether you're kind of attributing that to potentially just the continued return to office or lower Canadian travel, and if you have any visibility into Memorial Day weekend that you can comment on. Thank you.
John McLaren: Hi, Jana. It's John. Good morning. Thanks for the question. I think so here's the broader color I want to give on transient RV, which large component of our transient revenue headwinds actually is created by our success in converting transient sites to annual sites, which I think everybody knows has been a big success over a number of years. I think despite the near-term volatility, our transient RV business generates solid revenue and margins and continues to play an important role in creating the pipeline for annual conversions. Regarding recent trends, I will share that at the March, we were actually outpacing 2024 bookings. And then beginning in early April, we began to see a shift towards much shorter booking windows and trends related to our Canadian guests became a bit more challenging. The bottom-line is people are booking closer to their stays, okay, than they were last year. As we've shared frequently, I think, RV represents affordable vacationing and especially in tougher economic times to funnel towards annual RV revenue growth. And while we may in fact see improvement in guidance we've shared today related to transient as people potentially shift vacation plans to something closer to home or more affordable, making their plans closer into when they want to stay, right now, we're following the data and the pacing that we have and felt it was appropriate to make an adjustment to our transit revenue forecast for 2025. That said, our RV strategy remains focused on, as you know, continuing to flex operating expenses within RV, and building upon the demonstrate annual conversion success with particular emphasis on retention of existing annual guests. I think many on the call probably heard me say, before that the best revenue producing site we can gain is the one we never lose. And so, that's where our focus is placed. So, really, it's a combination of what we're seeing in terms of our Canadian guests and things I talked about just a second ago. But we're after it, bottom line.
Jana Galan: Thank you, John.
Operator: Thank you. The next question comes from the line of Eric Wolfe from Citigroup. Please go ahead.
Eric Wolfe: Hi, thanks. I think you said that you're assuming 3.5% to 4% rate on the cash that you're holding on your balance sheet. Can you just talk about what the average cash balance is you're assuming for the rest of the year? I would assume, it's like $1.7 billion, but just want to confirm.
Gary Shiffman: Eric, we as stated in the prepared remarks, we are not assuming any prospective acquisitions or capital markets activity. So we are carrying a higher cash balance, than what we expect to by year end, as it relates to that interest income and that carrying an interest rate between that 3.5% to 4%. But on a net basis, it will be around $1.7 billion that's embedded in guidance.
Eric Wolfe: All right. Makes sense. And then in terms of potential acquisitions, can you just discuss how much is under contract right now? Just given the size, I assume that, you have some visibility towards closing something in the near-term or maybe I'm wrong on that, but talk about that. And then just the types of properties that you're targeting and the general valuations level?
Gary Shiffman: Sure. So a good question and something we're obviously very focused on with the opportunity that we have. Basically, we built a strong long-term relationship with owners over the last thirty plus years. So we have been actively engaged on a number of acquisition opportunities. As I said in my earlier remarks, and we will be looking forward to sharing more when we're able to do so. But what I can share is they are high-quality single manufactured housing assets and small portfolio manufactured housing opportunities that we've reached out on from those relationships. And additionally, we've had some inbound interest come into us. But what I would really want to underscore is that, this is a great opportunity for Sun to deploy capital, and then the 10/31 exchanges and reaccelerate growth in our core business. But we will do it in a very disciplined way. So we won't be looking to just put capital out for the sake of putting capital out. We'll be underwriting and doing our diligence to create the best circumstances for growth going forward. So very anxious to be able to share specifics, but we're very excited about the opportunity that we have in front of us. And then I would just share that, as most of you may be aware, the identification window under a 10/31 exchange is 45 days or so. So we're working diligently with that timeframe. But as I said, we won't comment prematurely, just given our active engagement that's taking place right now.
Eric Wolfe: That's helpful. Thank you.
Operator: Thank you. The next question comes from the line of Brad Heffern from RBC Capital Markets. Please go ahead.
Brad Heffern: Good morning. Gary, you gave a very brief update on the search for your successor. Can you give any additional details there on what the process has been so far and what remains? And then, I think you also said by year end. So should we not expect an announcement until late in the year, or is there a possibility that it comes before then?
Gary Shiffman: Answering it backwards, the possibility between now and year end certainly is more representative of the process. As I indicated, we have a search committee in place at the Board of Directors. They've hired an outside third-party firm that's been helping them through the process. And they've been moving, very thoughtfully through the process. I'd suggest that, we've been very, very focused on the Safe Harbor Marinas closing and the transaction as a top priority. But equally, the decision about long term leadership planning and the search committee's work for a new CEO has also been a top priority. So it is moving along and, I'm glad to be able to advise you, as decisions are made, and I look forward to doing so as time progresses here.
Brad Heffern: Okay, got it. And then Fernando, on the tax leakage from the sale, is there any update you can give there? I know it obviously depends on how much you're able to reinvest through the 10/31s, but can you give a range like if you didn't reinvest anything to if you reinvested $1 billion or anything like that?
Fernando Castro-Caratini: At this time, I'm not able to provide a range, but we are employing tax minimization strategies and we'll continue to update the markets over time, as those are finalized over the course of the year.
Brad Heffern: Okay. Thanks.
Operator: Thank you. The next question comes from the line of Wes Golladay from Baird. Please go ahead.
Wes Golladay: Hi, everyone. A question for you on the annual RV. Typically, you have this is a big source of gains, revenue producing site gains. This year, it was down year-over-year. Can you remind us what's in guidance and what is going on there?
John McLaren: Yes. What's in guidance for the year, Wes? This is John. Thanks for the question. It's approximately 1,500 conversions that take place over the course of the year. What I would tell you is that, we are in fact on track with our annual RV conversion contracts 2025 with the exception of some of the impact that we experienced in Q1, specifically related to renewals and new conversions of Canadian guests. I think it's important to point out with me saying that though that, Canada only represents about 4% of our RV annual business. And we'll continue to focus on our proven performance in RV annual conversion and retention across the board and filling more sites domestically over the course of the year.
Wes Golladay: Okay. And then the rental program is showing really strong gains, it's up double-digits year-over-year. Is this from lease up of your developments?
John McLaren: Some of it is that, yes, but some of it's interspersed throughout the portfolio as well.
Wes Golladay: Okay. And then can I get a quick update on your hedging policy for The UK?
John McLaren: So as a strategy, we have paid down all of our DBP debt. We are looking at putting on synthetic hedges with some of our existing debt.
Wes Golladay: Thank you.
Operator: Thank you. The next question comes from the line of Steve Sakwa from Evercore ISI. Please go ahead.
Steve Sakwa : Yes, thanks. Good morning. Just wanted to touch on G&A. I know when you guys announced Safe Harbor that was a large decline in G&A given that business. And then when John came back, you guys talked about, I think, at least $15 million to $20 million in cost savings. So I'm just curious where that cost savings plan stands, and I guess how much further, or how much more benefit do you think you can kind of wring out of the system here?
John McLaren: Thanks, Steve. It's John. I'll start. Overall, really pleased with the progress we've made with the $15 million to $20 million expense savings plan. I think we shared before that within G&A, close to $11 million savings over 2024 primarily resulted from staff reductions and associated costs, which is already embedded in our guidance for 2025. And we picked up additional savings related to things like advertising, technology licensing costs as well. As part of that plan though, within property operating expenses, initiatives were taken across all of our MH and RV assets to manage expenses in the controllable areas. We realized, as you know, approximately $4 million savings in Q4, which is embedded in our 2025 expectations, along with the expectation to expand that another $3 million to $5 million of additional savings and things like payroll, things I've shared earlier on the call like bad debt reductions and other items. We'll continue to seek additional expense savings over the course of this year, and we're obviously equally focused on additional revenue growth opportunities. I think the result of which is reflected in the solid Q1 MH performance through both occupancy gains and rate gains. Last thing I'll say is, the fundamentals are our focus. For example, performance within our sales and leasing funnel, which measures leads to applications, to approvals, to closings, continues to set new milestones. So, that's helping to grow on the top-line as well. And finally, we have expanded our centralized procurement platform, which is generating savings through more standardization, discipline and economies of scale in all the areas served by this important platform. So we're pretty happy with where things are going and look to further expansion as the year goes on.
Steve Sakwa: Thanks, John. Just one quick one for Fernando. I don't think in the guidance you provided real property NOI this time versus last quarter. Do you have that number handy?
Fernando Castro-Caratini: Steve, the same-property portfolio between North America and UK is 99.1% plus of total real property for us for the year. That's why the total real property guidance was not provided.
Steve Sakwa: Got it. Thank you.
Operator: Thank you. The next question comes from the line of John Kim from BMO Capital Markets. Please go ahead.
John Kim: Thank you. Gary, on past calls and meetings when you talked about manufactured housing cap rates, they were oftentimes surprisingly low, sometimes as low as sub-3%. And you largely attributed that to 10/31 buyers in the market. So I'm wondering how much lower the hurdle rate is for you on MH acquisitions, just given your circumstance today?
Gary Shiffman: Certainly a great question, John. As I indicated before, we have a great opportunity in front of us to look at MH acquisitions, but we will be very, very disciplined in how we think about it, so that we can generate the type of solid growth as we think about the long-term underwriting of these assets. I'd suggest that, cap rates for high-quality manufactured assets are generally consistent with historical levels. I'm going to suggest in that 4% to 5% range, but we're going to be very cautious, in sharing cap rates at a time when we're in the market, so to speak, and having those discussions. But we will certainly share those cap rates with you at a future date as we begin to close on potential transactions.
John Kim: Okay. And then on RVs, I just wanted to make sure that, you're not planning to use the $1 billion of proceeds for 10/31 on any RV acquisitions. And then, as far as the discussion on transient RV, it still was a little bit surprising it was down so much, given transient sites were down about 7% year-over-year. So I'm wondering what else do you think was causing demand to come down so much in the segment?
Gary Shiffman: I'll take the first part of the question is that, while we like the RV business, we are primarily focused on acquisitions of manufactured housing communities. So that's the expectation that, that will be our primary focus.
John McLaren: And then John, as it relates to transient RV revenue and the performance in the first quarter, the decline of 20% in revenue is due primarily to seasonality of the portfolio and the high number of conversions over the last 12 months, especially in Florida, impacting available transient sites during this period. The first quarter represents about 16% of NOI for our RV portfolio, and revenue per available site did decline, but again, primarily because of that availability of sites in the portfolio for the first quarter.
John Kim: Did you expect the first quarter was the trough as far as the year over year decline?
John McLaren: That's correct.
John Kim: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Anthony Hau from Truist Securities. Please go ahead.
Anthony Hau: Hi, guys. Thanks for taking my question. Gary and John, in terms of MH acquisition, is there a preference between all age and age restricted communities? And what's the capital spread and rent growth difference between the two?
Gary Shiffman: A great question, Anthony, sort of an age old discussion that we share with the marketplace. We believe in a very balanced portfolio. The importance that we've always kind of shared with the market is that, in the all age communities, we generally have more strength and ability to raise rental income, less restricted by covenants that might control how you increase rents. And we experienced, higher rental increases, in more challenging inflationary periods. At the same time, we experienced a 21 plus year tenure in our balanced portfolio, and it is weighted towards longer stays in the all age versus age-restricted, but at the same time high, high demand in our age-restricted balances out how we think about that balanced portfolio. So generally, I would expect to continue to look for that balanced portfolio in our acquisitions and we are looking at both age restricted and all age, at this current time.
John McLaren: Anthony, it's John. Just add to that. I mean, one of the things that we've shared before is that, 25% to 30% of the residents that live in our all age communities are in fact would qualify for age-restricted communities as well. So it's a nice balance. And from the operating perspective, we like the fact that, we can cast a wider net of prospects that can move into our communities, okay, through the all age as well. So like Gary said, it's a nice balance that we seek to maintain.
Anthony Hau: Got you. And then, like the resident move-out rate was 4.6% year-to-date, 4.3% in 2024, but I think it was roughly 3% in 2022 and 2023. What's driving the higher churn and what's embedded in the guidance?
John McLaren: You're referencing MH RV or overall for the total portfolio?
Anthony Hau: Yes.
John McLaren: I think you're referencing actual resident turnover, but homes remain in the communities. And so, this is part of the product of why we've seen an increase on our brokered home sales that have taken place over the first quarter. So we actually benefit from some of that churn. But the fact is that the homes like Gary mentioned earlier, I think I said in my remarks that average resident stays in our community for 21 years.
Gary Shiffman: The homes themselves, I think it's what about 0.5%. The Manufactured Housing side, our turnover on the home specifically are under 50 basis points per year. So this just creates more opportunities for us to transact, Anthony.
Anthony Hau: Got you. And just one last question for me, this is for Fernando. What's 2025 core FFO run rate should we use excluding the Marina contribution?
Fernando Castro-Caratini: I think, Anthony, the best way would be to go from a same property NOI build for our MH, RV and UK portfolio. We've also provided guidance for all other line items ex-Marinas, be that ancillary, G&A, et cetera, et cetera. So that will be your build.
Anthony Hau: Thank you.
Operator: Thank you. The next question comes from the line of Peter Abramowitz from Jefferies. Please go ahead.
Peter Abramowitz: Yes. Thanks for the time. I think most of my questions have been answered, but just wanted to ask one. Could you just talk about what you're seeing in the financing market for MH and RV assets? I guess, particularly kind of post the Liberation Day announcement. Maybe just comment on spreads in that market and what you're seeing there?
John McLaren: I'd say, very strong market. The Fannie and Freddie continue to finance residential, be that manufactured housing, annual RV, and multifamily. We haven't gotten any color from our partners as far as any slowdown there.
Gary Shiffman: Yes. I'd add life companies as well. So the typical sources recognize the fundamentals inherent in the business, the stability, cash flow and resilience to tough economic times, demand for affordable housing. So I haven't experienced or heard anything different as well.
Peter Abramowitz: All right. That's helpful. Thank you.
Operator: Thank you. The next question comes from the line of David Seagal from Green Street. Please go ahead.
David Seagal: Hi. Thank you. Is it possible to quantify the RV booking pace for a Canadian customer specifically?
John McLaren: Thanks, David. This is John. I mean, generally speaking, like I said, the booking pace has been down, okay? But the bigger impacts to Canadian have been attributed to the first quarter, okay, as I shared in my remarks as well as some of the earlier questions. But it's a little bit of uncertainty, that's out there right now, that we're dealing with as we talked about the near-term challenges. But once again, I will say that, it is limited in terms of the fact that, Canada only represents 4% of our annual business as well as 5% of our transient business. So, even a reduction in bookings or an increase in cancellations has more of a marginal impact on us overall. So we are focused on, like I said before, just recouping that through domestic travel. And as we've seen in other times of tougher economic conditions, we've seen more people flow through to us. But I think with the pacing that we're seeing now, with the booking window that we're seeing now is the reason why we made the adjustments to guidance just to because it made sense, okay. Our hope, of course, is that this will continue to improve over the course of 2025.
David Seagal: Great. Thank you. And maybe just shifting to additional asset sales. You've been streamlining the portfolio and just curious what -- how much additional portfolio pruning you're looking at for the rest of the year?
John McLaren: Good question, David. Thank you. We are very, very pleased at what we've been able to accomplish. Our 2024 program of dispositions along with what we've accomplished that we announced in the six communities to date. I think these are non-core strategic assets, and they're just improving the outlook on the rest of the portfolio. So they're -- we'll just continue good asset management and they'll probably look like one's and two's, when we determine something doesn't fit our long-term core strategy.
David Seagal: Great. Thank you.
Operator: Thank you. We take the next question from the line of Eric Wolfe from Citigroup. Please go ahead.
Eric Wolfe: Thanks for taking the follow-up. You mentioned there was a 45 day window under 10/31 exchange law. I guess, is there any way to extend that? And I guess, is it real simply that you have to move under contract in 45 days? Like what happens needs to happen within 45 days to avoid a taxable event?
John McLaren: Good question, Eric. There is no way that I'm aware to extend that, but that forty five day period of time is just to identify the properties. So, that's, the 45 day period of time. And then you have a total of one 180 days, I believe, to actually execute on closing. So first 45 is just a period of time within which you have to identify them. We also will benefit from the handful of deferred properties that are subject to close in the future related to final approvals from core of engineers and municipalities. So those 10/31 exchange opportunity periods will be from the date of closing. So, same math would work there too.
Eric Wolfe: Great. And then I guess now that you've completed the sale of Safe Harbor, can you just give us a sense for the amount of recurring CapEx that you expect on an annual basis, sort of dollars, if you could? Maybe there's, like, $120 million.
Fernando Castro-Caratini: This is Fernando. Over the course of 2025, the recurring CapEx we expect for our MH, RV and UK portfolio is just over $70 million for the year.
Eric Wolfe: All right. And then last question I have, thank you for taking these. It's a little bit old news, but I think last quarter you took a write down on The UK business. Can you just remind us what value you took that business down to and whether it includes all of our UK assets or excludes, for instance, some of the land parcels or other assets within UK? Just trying to understand what the valuation was there and what it includes.
Fernando Castro-Caratini: Eric, that's a great follow-up. Let's pick that up offline. But the write down in the fourth quarter related to writing down the remaining goodwill within The UK portfolio.
Eric Wolfe: Okay. All right. Thank you.
Operator: Thank you. Ladies and gentlemen, as there are no further questions, I would now hand the conference over to Gary Shiffman for his closing comments. Gary?
Gary Shiffman: Thank you, everybody. Obviously, we shared with you that we're very, very pleased with what we've been able to accomplish this last quarter and look forward to sharing information with you on second quarter's performance. Thank you, operator.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the company's remarks. You may now disconnect your lines. Goodbye.